Operator: Ladies and gentlemen, welcome to the First Quarter 2017 Results Conference Call of Veolia Environnement. I now hand over to Antoine Frerot, CEO and Philippe Capron, CFO. Gentlemen, the floor is yours.
Antoine Frerot: Good morning, everyone and thank you for joining us on this conference call to present our quarterly results. Our first quarter results are really satisfactory. The two pillars of our strategy are both supporting our results, revenue growth and continued cost savings at a sustainable pace. As a result, we recorded growth in all of our financial indicators: growth in revenue; growth in EBITDA; growth in current EBIT; and growth in current net income. In my comments, I will not make the distinction between figures at current exchange rates and constant exchange rates because at the group level, the difference is minimal for the first quarter. I will only comment on figures at constant exchange rates and leave it to Philippe Capron to provide you with further details. My first source of satisfaction is our revenue. The takeoff is confirmed though it took a little longer than expected. The fourth quarter of 2016 marked the beginning of growth, and I told you that it was not a flash in the pan. The first quarter fully confirms this trend. Revenue growth was 4.5%, with very good growth in Europe, excluding France, at plus 7.2%; very strong growth in the Rest of the World, at plus 11.8% and we continued to win contracts at a satisfactory pace during the quarter. This level of growth is superior to what we target on a normalized basis. Currently, we are benefiting from good commercial momentum as well as the integration of the targeted acquisitions that we completed in 2016. The magnitude of revenue growth in the first quarter should not be extrapolated over the full year because the calendar effect of contract starts and tuck-in acquisitions will fade in the second half. But that said, we are well within the range of revenue growth foreseen in our multiyear plan. Second source of satisfaction, our robust growth. EBITDA increased around 1% due to revenue growth and the benefit of cost savings and despite very weak tariff indexation in our contracts and transitory headwinds. It should be noted that EBITDA growth was held back by an increase in cash payments and our self-insurance program. These costs were previously provisioned and as a result, you will find that contract part within provision reversals booked for €12 million at the EBIT level. Without this self-insurance disbursement, EBITDA would have increased 2.5% and not the 1% we are reporting and so current EBIT is up 6%, in line with the progression and EBIT – in BITDA and taking into account what I just said about insurance project payment. At current net income, finally, increased by 4%, this good start to the year, therefore, allows us to fully confirm our outlook for the year. On the next slide now. Cost savings amounted to €63 million for the first quarter. They are well in line with our €250 million objective for the year. They were achieved in all of our business units and through our 3 usual sources of savings. In addition, next slide, our commercial successes have continued at a good pace. For example, on this slide in the industrial market, with our recent successes in nuclear decontamination where we would now support Magnox in the UK and SOCODEI, a subsidiary of EDF, in France. Also, our first significant industrial contracts within the energy sector in China with Hongda Chemicals for a stream supply plant, the construction and operation of a chilled water plant for a large data center in Beijing and a biomass cogeneration plant that will support 3 industrial, chemical and construction companies in the Hebei Province. Also for the municipal markets, next slide, you can see the continued success of our teams in the UK, in particular, with the gain of a waste treatment contract in four London boroughs. And still within the waste business, the waste and energy contract win from the Greater Lille Metropolitan area in France. I will now hand over to Philippe Capron, our CFO, so that he can provide you further details with our – regarding our first quarter results. Philippe, the floor is yours.
Philippe Capron: Thank you, Antoine and good morning, ladies and gentlemen. As we are on Slide 7, by – as already explained by Antoine, currency variations only had a marginal impact on our accounts this quarter. The weak sterling has been offset by other stronger currencies versus the euro. Worth of note is the fact that our accounts presentation this quarter takes on board both IFRIC 12 that is fixed leases re-treatment for concessions in – especially in the Czech Republic and also, the treatment of Lithuania as discontinued operations, that’s IFRS 5. You have the detailed figures corresponding to this treatment in Appendix 1. We have had very satisfactory results this quarter, especially with revenues at €6.3 billion, up 4.6%; EBITDA up almost 1% at €863 million; the current EBIT up 6% at €431 million, leading to a significant increase of our current net income group share, 3.7% at constant currency, but actually, 7% if we take into account the fact that we had no significant capital gains this quarter. So year-on-year, the increase is 7%. CapEx remains in line with the previous year. It is totally under control. Net free cash is similar to the previous year due to the seasonal working capital reversal, leading to a net financial debt which is almost unchanged if you take out the currency impact compared to the same period last year. So all-in-all, a very promising start. On the next slide, Page 8, you can see the quarter-by-quarter action which has taken place and you can see that we have reasons to be happy with the way the turnover has moved. It’s true that France remained sluggish, but actually, the minus 1.5% you see there is mostly due to a scope effect at the – as a sale of Bartin at year end, our scrap recycling business. If you take this impact out actually, even France would have seen its revenue increased by a modest 0.6%. But Europe, excluding France, has been extremely active, and the rest of the world was close to 12% increase this year. This quarter has been very active. Construction activity has continued to trend down as planned. But we – if we eliminate this factor and energy prices – but energy prices have not played a – have not had a significant impact. If you eliminate this factor, the underlying growth for Veolia is actually close to 6%. Now we are not getting carried away. We must be careful not to extrapolate this figure, as indicated by Antoine. We are comparing ourselves to Q1 last year, which as you can see on the chart had been weak. And the Q1 growth rate is probably not going to be sustained at such a high level for the year – for the whole year. Still, we are extremely happy to see that the recovery in our sales growth which we had forecast is actually carrying a full blast in this quarter. On Page 9, you have further detail. French water is still impacted by the low inflation environment and the contract renewals, albeit at a lesser pace. But waste in France is up close to 5% if you strip out the Bartin divestment. This is thanks to commercial gains, thanks to a slightly improved activity in many areas in France and also higher prices for recycled paper. This same impact higher prices for recycled paper also benefits us in other areas such as Germany and the UK. The rest of Europe has done very well, both in terms of volume and in terms of performances, with some assist from climate – with a significant assist of climate in Eastern Europe. In the U.S., as you can see, we are recovering in spite of a negative climate impact there. Thanks to the successful acquisition and integration of our Chemours’ sulfur business and thanks also to good hazardous waste volumes. Latin America and Asia have been doing very well, especially China, with a 31% revenue increase. Thanks in part to the Sinopec contract signed in Q3 last year, but also through the overall good performance of our activities there. Among our global businesses, we have a mixed bag. Hazardous waste is doing very well, but our construction and engineering activities are still down as planned. If we move on to Slide 10, there is not much to say. I mean apart from construction, all our other growth engines are running and this is both in terms of volumes, prices, commercial gains, recyclate prices and of course some scope impact from last year. So not much to say, all of them have contributed to the very good top line performance we have registered for Q1. On Page 11, there is a focus on our waste business, which has been particularly well oriented, with better levels of activity, higher recyclate prices, especially paper and promising commercial developments. Even excluding the scope effect, the variation is plus 5.6% and it’s been some time now since we hadn’t produced such a good quarter for this activity. Our sole disappointment is probably the slow recovery of industrial cleaning in the U.S., but it’s well made up by haz waste and Chemours. On Page 12, you can see that, as usual, our EBITDA increase has been fueled by our sustained effort at cutting costs, €63 million this quarter, as detailed by Antoine. But it’s been hampered by headwinds, as we had flagged in January – in February, both in terms of some transitory costs, some one-off costs, either this year or last year, which we couldn’t completely offset, the increase of our selling activities, but this is actually investment into the future and also the impact of the low inflation, which creates a scissor effect with our cost. Those headwinds had been flagged, but we are happy that, thanks to the cost cutting and thanks to the turnover growth, we have been able to offset them to the extent that we have a growth in EBITDA. On Page 13, you can see that EBIT is doing very well, in part because some of the headwinds at the EBITDA level are reversed at the EBIT level, in particular, the payments of our reinsurance captive to our insurers which had been provisioned in the previous quarters or in the previous year which occurred in this quarter have impacted EBITDA. EBITDA is up 1% instead of 2.5%. This was payment that hadn’t happened to occur on this specific quarter, but they are of course reversed at the EBIT level, because we have already taken the charge with the provision in earlier quarters or earlier years. Worth of note is also the improvement of the net income of our JVs and associates, especially in China. And this also contributes to the good performance, plus 6%, in EBIT. On Page 14, you can see that this good performance has translated into a very good performance in current net income as well, plus 7% at constant currency if we strip out the modest impact of capital gains. We had €3 million last year versus zero this year. Not much to say there. The cost of financing is in line, slightly down compared to the previous year. The tax rate is also slightly down, 27% instead of 29%, overall, a solid performance at this level. Page 15, you can see that our CapEx discipline has continued in – and this is, of course – Q1 is of course a traditionally weak quarter for investment. We hope we will be able to benefit from our pipeline of promising alternatives and actually increase CapEx somewhat for the balance of the year. Net free cash is down due to the seasonal variation of working capital. But if you strip out this effect, we would be at plus €345 million, which we must not of course multiply by 4 even if we expect the usual working cap reversals for the balance of the year, because this is a traditionally weak quarter in terms of CapEx. Net financial debt is slightly up year-on-year due to net financial acquisitions over the period and a modest currency impact. All in all, if we move on to Page 16, we are very confident in our ability to meet our 2017 outlook. Thanks to the strong start of the year. Resumption of revenue growth, I think the figures speak for themselves. Stable EBITDA or moderate EBITDA growth, I mean you – we were very cautious in February, because we knew that, especially the first two quarters were going to be very difficult. But as we are doing better than we had planned internally, we are confident that we will meet that target as well. And of course, our cost cutting efforts continues unabated at the expected rhythm. This makes us very confident for 2017 and of course it gives us all – added confidence in our ability to meet our outlook for the next 2 years, which therefore is unchanged. Thank you.
Antoine Frerot: So we could begin the Q&A now.
Operator: Thank you. [Operator Instructions] The first question is from Guy MacKenzie of Credit Suisse.
Guy MacKenzie: Hi, good morning. Three questions for me, if I may. I will focus on waste actually, you have clearly had some pretty strong top line growth there and clearly some of that’s acquisition driven, but even excluding that, it looks like you are up around 3%, I was just wondering if you could confirm firstly, whether you are seeing any profitability impact from those higher recyclate prices, I know historically you said that most of that is pass-through, but just to see whether the recent spike has had benefited you. And secondly, why your French landfill business seems to be outperforming the rest of France, you mentioned your volumes were up about just under 7% there and also if you are able to give us any kind of clarity on what margins you are seeing in your French landfill business right now. And finally, just coming back to recyclate prices, I know recycled paper prices were very strong in Q1, I read in press reports that they came down quite sharply in April, just wondering whether you can confirm that as well? Thanks very much.
Philippe Capron: Okay, I will take those questions. As you can see on Page 11, our growth in waste is 5.6%, excluding scope. And if we added scope, it would be 8%. Of course, that would not be very relevant. And keep in mind the fact that the scope impact is mixed, because there is the addition of the Chemours business and the Pedreira landfill, but there is the retrenchment of the Bartin business we disposed of at year end. In terms of recyclate prices, the impact is €13 million and most of it is not pass-through. It actually goes down to our margins. And in terms of margin evolution, of course, thanks to the volume impact, we expect positive developments, especially in France, where we have both this better level of activity both for landfills, incineration and overall growth and the impact of a very significant cost-cutting effort we are actually – for Veolia in general, we are close to 1% of our sales, I mean, €250 million divided by €25 billion. But for French waste business this year, we target close to 2% cost reduction. So this will help improve margins. And overall, even including water, we feel that 2016 will have been the trough and that from now on, we are going to see our results improving in France as well.
Operator: Thank you. The next question is from Michel Debs of Citigroup.
Michel Debs: Good morning. I have two questions, please. The first one, I just wanted to have a quick update on the large acquisitions you did last year. So, I saw a few numbers about Chemours on revenue, I didn’t see any number about Kurion. Would you please update us on Kurion a little bit and if possible tell us what Chemours has brought to the EBITDA. I think that the sales level is just €2 million. And my second question is about your EBITDA bridge, you present a block that you called transitory costs and one-offs, you say that the net impact of those one-offs is minus €42 million. I understand there is €12 million in there, which is a provisioned cash-out with a reversal at the EBIT level. What is the other €30 million? And how – I mean, what kind of recurrence do we have, because for instance, you list higher maintenance costs in the UK. Is it a permanently higher maintenance cost? Is it just this quarter for three quarters during the year? And then you also talk about favorable contract terminations. Could you please help us breakdown that €42 million on your bridge? Thank you.
Philippe Capron: Okay. Regarding our acquisitions last year, we are not disclosing detailed figures, but both businesses have been integrated to our satisfaction within Veolia. We have good synergies being developed in North America from the Chemours’ sulfur business. We are already very present in all refineries, of course, and we have both cross-selling opportunities and cost – additional cost saving triggered by the acquisition. In terms of – for Kurion, as mentioned by Antoine, we have had some good commercial successes and some promising synergies as well with the rest of our toxic waste activities. The EBIT bridge we can give some color on the €42 million on top of the €12 million insurance costs, which have been self-insurance costs, which have been mentioned. We have two other blocks making up the remaining €30 million. One is increased in maintenance costs, notably in the UK, in Korea, in Latin America. Most if it is a one-off meaning it’s not going to be repeated or it – or actually, it could have been – be reversed for the following quarters. There is another block of about €15 million, which is the successful termination of some contracts last year, especially Carmon Creek, but some others, which altogether have weighed positively last year for €15 million.
Operator: Thank you. The next question is from Olivier Van Doosselaere of Exane BNP.
Olivier Van Doosselaere: Yes, good morning and thank you very much for taking my questions. I will have four, if I may. First one would be on the adjustment for Lithuania, one point I would like to make is that, in February, I had the impression that the EBITDA guidance for the year was actually comparing 2017 with 2016 base that included Lithuania. So can you confirm that actually you still expect stable or moderate EBITDA growth versus 2016, including the Lithuania contract? And then secondly, it was a sizable contract with – which is now not included in the numbers and that helps a bit of comparison base. But I was wondering, do you see other sizable contracts like that one which you think could mature in the next – let’s say, in the next 2 years that could have an impact on your results or do you see other sizable contracts that are currently under negotiation and could represent here a risk factor for your results in the next 2 years? And then the next question that I had is that you are flagging net at a 4.5% revenue growth that we had in Q1 should not be extrapolated because of phasing effects of the – of acquisitions. But on organic growth, you are at 3%, I was wondering if you think that, that could be a target that would be achievable for the full year? And then my last question, I don’t know if you will give that, but I was wondering if we get – if we could get some sense on full year expectations on D&A, associates and minorities? Thank you.
Antoine Frerot: Philippe, you begin. I will follow.
Philippe Capron: I mean, we are not going to change our guidance at this stage of the year, as you may well expect, Olivier. I mean, regarding Lithuania, let’s put it this way. You will get the detailed figures, so you can make up your mind as the year will unfold as to what level of target we have met. But clearly, your – we are not going to change the guidance before – at this point, which is going to be relatively minor, because as the year unfolds, Lithuania gives all its – all of its EBITDA in Q1 traditionally – or at least last year, that’s what it did, all its EBITDA is in Q1 and 200% of the net income is in Q1. The rest of the year, we are not making money in Lithuania just because of the – because it’s a heating business, so Q1 is, of course, the – it’s a better activity quarter.
Antoine Frerot: About the other difficult contracts we mentioned in February, if you remember, Olivier, we talked about Lithuania. We talked about the shift in the UK and we talked about the Gabon contract. On the Gabon contract, we received the confirmation publicly now for a new 5-year extension of our contract, so we think that we will at least continue for 5 years from now, from end of June. So we think this thing is now over for us. It’s good news. About the Sheffield contract, it’s continuing to work, not stop. We still have under discussion with our client. There is no settlement today, but I am very confident that, at least, we will continue to operate this contract for at least 1 year and I think it will be more than that. So despite the Lithuania cave, for the rest, things are going better. And about the full year growth of our turnover, Philippe explained to you that we will not change our guidance. Your idea is not particularly, so if you wish, Olivier, you could work with that.
Operator: Thank you. The next question is from James Brand of Deutsche Bank.
James Brand: Hi. I will also have three questions if that’s alright. I mean, the first is just a clarification, which I hope you should be fairly straightforward. And that’s just on the full year EBITDA guidance, just to confirm that, that is – looking at EBITDA from last year, that included Lithuanian heat or whether that’s changed now that you are stripping Lithuanian heat out and it’s off a lower base, I think it probably is from that – from the base including Lithuanian heat profits, but just to confirm. Secondly, we have had a lot of kind of enthusiasm recently about kind of improving PMIs and obviously you saw a bit of waste volume growth coming through in Q1, but I was wondering whether you could just give us an idea as to what you are seeing in April and kind of currently in terms of waste volumes, whether you are starting to see an acceleration that seems to be implied by those improving PMIs. And then thirdly, just had a question again on the bridge of EBITDA and you kind of split out the cost savings and the kind of negative impact of prices, net cost inflation. But it does make me think to ask what level of cost inflation you are assuming for your business when you are calculating the cost cutting amount, is it inflation, or is it something more than inflation? Thanks.
Antoine Frerot: About your first question, I confirm that our guidance of stable EBITDA or moderate EBITDA growth is including, of course the Lithuanian figures. For the rest, Philippe?
Philippe Capron: It’s a bit early to give figures about April, of course. What we have – as far as we can see, there is a continuation of the trends. Some of the good activity in Q1 may not be extrapolated for the full year. Like taking a simple example, in the UK, we have had a very, very significant increase of our landfill volumes, but this was just due to the activity stop of an installation of one of our competitors who had to revamp their – they had to revamp their incinerator. And of course, this benefited to us. It will not necessarily be continued, of course for the full year. In term of cost savings, I am not sure I fully understood your question. For us, cost saving is not compared to any level of inflation, its absolute amounts. We are not saying well, we increased wages by 1% instead of 2% and therefore we are saving 1%. That’s not the way it works. So we – it’s actual euros or whatever currency cost reduction compared to the previous year, not compared to the previous year, plus a given level of expected inflation.
Operator: Thank you. [Operator Instructions] The next question is from Emmanuel Turpin of Société Générale.
Emmanuel Turpin: Good morning. My first question is a follow-up on Gabon, as you mentioned there, you have just been granted an extension, should we still assume a negative impact on EBITDA this year maybe because of the terms of the renegotiation or it’s actually – or actually has it gone now on – is Gabon just a growing concern, point number one. Point number two, I may have missed this point earlier, but I was wondering if you could give us some granularity on the waste volume pickup, the 1.2%, how much – I would say the mix of this 1.2% between recycling volumes, incineration and landfill. The third question is on the commercial wins and volume effect, you gave us an EBITDA contribution, €16 million, a revenue contribution €152 million, on the quarter only, that gives us a margin of 10.5%, which is below group average by about 300 basis points, this is only one quarter, so it may not be very significant, but is this lower than average margin, I would say a reflection of the quality of these contracts or is it just a timing effect with, I would say the EBITDA contribution maturing over the years, i.e. could we see further EBITDA growth on these contracts. And my very last question is on the cycle of downsizing the construction business, which started last year or the year before, how are you doing on this, when do you expect you will have reached the right size and what was the underlying trend in construction EBITDA, i.e. was it a matter of lower revenues, but increasing EBITDA still? Thank you.
Antoine Frerot: I will begin with the Gabon question, because we closed the first full concession contract at the end of June, we will have a bit less EBITDA for the new period, but less depreciation also, which is accounting made further for the concession [Technical Difficulty] I could not translate that, meaning that the level of EBIT in Gabon will stay at the classical and previous level during the past years. About waste volumes?
Philippe Capron: About waste volumes, I mean probably the most consistent trend we observe is haz waste, which has been doing well in China, in the U.S. and in Europe. But as I already mentioned, we have had some good volume increase in the UK and France for landfilling and in the UK and France as well for incineration. So it’s always the addition of many diverse situations overall. In terms of margins of course, we are targeting projects which should, when they are right, deliver higher margins than our average margin today, that’s the basis criteria on which we try to target our developments. Specifically for this quarter, I mean it’s always a mix bag, because you have some starting contracts, if I take the example of Armenia, where we are starting to – our contract of course, we are not going to immediately reach the margin level we expect for the whole duration. So some contracts at start may have a slightly lower EBITDA margin.
Antoine Frerot: But Emmanuel, we have €270 million of turnover – added turnover. For €16 million, plus €20 million if you take into account the perimeter effect in terms of EBITDA, so €36 million together. Compared to €270 million, it’s a bit more than 12%, which is average EBITDA margin of the group. So even for these new contracts, for the first year of this contract or acquisition, we have a level of EBITDA margin a bit higher than the average level. So it’s not bad for the first year. Of course acquisition is not first year, but for organic growth, it’s first year. So it is not a bad beginning. It’s a good start.
Operator: Thank you. The next question is from Julie Arav of Kepler Cheuvreux.
Julie Arav: Yes. Good morning. Thanks for taking my questions. I have three if I may. The first one on – just a follow-up on the waste volumes and mainly in France, can you explain us what is driving this growth, I understand and you mentioned well, that the landfilling volumes notably in the UK are boosted by the fact that you received some volume from Suez notably, but can you explain us if the underlying trends are picking up, thanks to a slight macro improvement, or if it’s just special situations that make that you benefited from this kind of growth. And also can you remind us the sensitivity of your EBITDA to a 1% increase in the waste volume and can you also confirm that your volumes are one for one correlated to the industrial production in the countries where you are present. Sorry, this was my first question, quite a general topic on the volumes. The second question is mainly on the industrial services in the U.S., that remain under pressure, all this despite a pickup in oil price, can you update us a bit on this activity, the reasons why it’s still under pressure and what’s the outlook. And last question, can we have an idea of the contribution to your revenue of the industrial water business? Thanks.
Philippe Capron: That’s quite a set of comprehensive questions, Julie. So in terms of waste volume in France, the increase in landfilling is mostly due to construction waste, especially the greater Paris projects, so nice to have, but not great because that’s not as rewarding as household waste tons. In terms incineration, we are up 1%, which is satisfactory. In terms of collection, as we mentioned already last year, we are becoming more picky in terms of collection. We did not renew some contracts where we felt the margin was not enough. So actually, our commercial collection is slightly down 3%, whereas our municipal collection is flat on this – for this quarter. And the major effect as already mentioned numerous times, is recyclate prices, especially paper. In terms of industrial services in the U.S., as I said, it’s been a slight disappointment. We had started to recover in Q3, Q4, but not at the pace which we hope. And Q1, we are also lagging a little bit compared to the recovery. Now we have taken a closer look at this industry. And actually, our performance – our comparative performance is not so bad. This is a sector which has been impacted a lot, especially for the refineries segment by oil and gas prices. And therefore, we are not alone suffering and our comparative performance to some of our peers is actually not that bad. So we probably have to take patience and try to continue to improve our operations and especially our commercial operations there to see further improvement. For industrial water, I mean, we are not disclosing specifically our margins, but some contracts, especially the large contracts we have had in China, are performing very well. We are very happy with those developments.
Antoine Frerot: But Julie, for sure, in our water activities, the major part is the municipal one. That is not at all the case of waste, because 60% of our waste business is industrial, but for water is, I would say, perhaps around 20%.
Philippe Capron: Yes.
Antoine Frerot: Around 20%, but it’s a small part of the water business.
Philippe Capron: But a growing part, of course.
Antoine Frerot: Of course.
Operator: Thank you. The next question is from Olivier Van Doosselaere of Exane BNP.
Olivier Van Doosselaere: Yes, good morning again. Thank you. I have some follow-up questions. Some have been answered, but I have one left. It’s at Q1 you mentioned that you thought that 2016 should have been the trough for your results in France. I understand that this year, the improvement, we should mainly see it more at the EBITDA level, thanks to extra cost savings. But I wonder going forwards assuming economic activity can remain around the current level and taking into account what we see today in terms of inflation, I think you had said previously that, that inflation fluctuations tend to affect you with some lag effects. So, could you maybe tell us more on how you see top line evolve in France, let’s say, from next year onwards, please?
Philippe Capron: I mean, you mentioned most of the topics. Clearly, a pickup in inflation would help both in waste and in water. In waste, there is the additional effect of the change in the environment. Increasingly, the focus will be on recycling, will be on adding value, will be on providing raw material – secondary raw material recycled to industrials and that means a lot of new activities which are being developed, a lot of value-added. Look at the solar panel recycling activities we started to develop. It’s not going to be huge at first, but that’s one of the many ways in which we can make this business evolve and making it more value-added. For water, there is – there are probably some avenues we need to further explore. We are not strong enough in industrial water in France, for example, compared to what we are successfully doing in other geographies. So even for France and even for water, even in the deflationary environment, there is probably things we can do to further improve top line.
Olivier Van Doosselaere: Okay, thank you very much.
Operator: Thank you. We currently have no further questions. I am sorry we do have a further question from Anna Maria Scaglia of Morgan Stanley. Madam, your line is open.
Anna Maria Scaglia: Hi. It’s Anna Maria Scaglia from Morgan Stanley. I have two small questions, if I may. One is regarding France. Do you expect any potential change in regulation, taxation on the back of the elections? We have been hearing some comments about taxation about landfill, so if you can make any comment there? And the second question is regarding Lithuania. Do you have any expectations in terms of potential repayment or early end of the contract and therefore some ways for you to recover value there, what your plans are? Thank you.
Philippe Capron: Well, in term of the French political environment, I think things are clearing up and we can reasonably expect a win by Mr. Macron that probably would mean a more supportive labor law – or labor regulation environment, which could probably help us being more flexible and adaptative. And at the same time, it also means we should not expect higher taxations. I am not saying we would get tax breaks, but the present sale would probably be transformed into lower social securities levies, which for us would be equally beneficial. In term of – in the situation of Lithuania, I mean, the dust has not settled yet. I mean, the contract terminated at the end of March. We are in the process of discussing what this means in terms of the value of the assets which is due to us, the value of the working capital requirement which is also due to us. We are, as you know, litigating in front of the CFDs, the international court for protection of foreign investments. We are suing the Lithuanian government as of today for already €100 million of awards. These proceedings will take a lot of time. We have experienced in front of the CFD, it can take up to 5 or even 10 years. So we are not holding our breath for this money. But sooner or later, this will be a windfall, because there is no doubt in our mind that we are due compensation for the way that the contract was terminated. Meanwhile, we are also disposing – given the political climate in the country we are also disposing of our other assets in Lithuania, hence, the IFRS 5 treatment.
Operator: Thank you. We have no further questions.
Philippe Capron: And I might add that because of the situation in Lithuania, we already reflected the loss of – today’s loss of value of our assets, so that we are fully covered in terms of risk by the provisions which we have taken at the end of last year. So, we should have only upside from now on.
Operator: Thank you. [Operator Instructions] We have no further comments today.
Antoine Frerot: So, thank you very much for having followed our conference call and have a good day. Goodbye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may now disconnect.